Operator: Ladies and gentlemen, thank you for standing by. Good afternoon and welcome to the Knowles Corporation Fourth Quarter and Year-End 2014 Financial Results Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, today’s call is being recorded. With that said, here with opening remarks is Knowles Vice President of Investor Relations, Mike Knapp. Please go ahead.
Mike Knapp: Thanks, Shannon, and welcome to our fourth quarter and yearend 2014 earnings call. I’m Mike Knapp, Vice President of Investor Relations, and presenting with me on the call today are Jeff Niew, our President and Chief Executive Officer; and John Anderson, our Senior Vice President and Chief Financial Officer. Our call today will include remarks about future expectations, plans and prospects for Knowles, which constitute forward-looking statements for purposes of the Safe Harbor provisions under applicable federal securities laws. Forward-looking statements in this call will include comments about demand for company products, anticipated trends in company sales, expenses and profits, and involve a number of risks and uncertainties that could cause actual results to differ materially from current expectations. The company urges investors to review the risks and uncertainties in the company’s SEC filings, including, but not limited to, the Annual Report on Form 10-K for the fiscal year ended December 31, 2013. Periodic reports filed from time to time with the SEC and the risks and uncertainties identified in today’s earnings release. All forward-looking statements are made as of the date of this call, and Knowles disclaims any duty to update such statements, except as required by law. In addition, pursuant to Regulation G, any non-GAAP financial measures referenced during today’s conference call can be found in our press release posted on our website at knowles.com, including a reconciliation to the most directly comparable GAAP measures. Except for revenue, all financial references on this call will be non-GAAP, unless otherwise indicated. Also, we’ve made selected financial information available in webcast slides, which can be found in the Investor Relations section of our website. With that, let me turn the call over to Jeff, who will provide some details on our fourth quarter and year end results. Jeff?
Jeff Niew: Thanks, Mike. Thanks to all of you for joining us today. For Q4, we reported revenue of $286 million, gross margins and operating margins were approximately 32% and 13% respectively, and exclude charges associate with the microphone issue discussed last quarter. I would like to begin with an update on the microphone situation. We’re pleased to report that our product has been re-qualified on this customers smartphone platform. We expect shipments to resume in the second quarter of 2015. John will go into greater detail on the financial impact in just a moment. The resumption of shipments to our customers highlight a few important points. First, it reflects our ability to quickly diagnose an issue, develop a new design and ramp-up a new product. Secondly, it demonstrate that Knowles is a critical supplier to the MEMS microphone market. Finally, it reflects customer confidence, in our ability to effectively apply our expertise and solve difficult problems. I would like to thank all of our employees for their tireless efforts over the last four months and commitment to resolving the situation. Moving on to our results. Revenue in our Mobile Consumer segment was down 6% sequentially, as the microphone shipment on a specific platform remained on hold for the entire fourth quarter. Strong quarter-over-quarter sales of our speaker and receiver products help offset the decline in microphones. Based on public shipment volume, we believe our revenue from microphones was unfavorably impacted by more than $50 million in Q4 and approximately $70 million for all of 2014. Revenue from MCE comprised 60% of total sales in Q4. While shipments to Chinese OEMs were up significantly from the period a year ago, revenue from these customers declined sequentially in Q4 due to timings of product launches. For the full year of 2014 growth remained very strong, up 75%, in 2013. As noted in previous calls, OEMs brought China, advent and will continue to be a growth driver for us. We are benefiting from the conversion of MEMS microphones, multi-mike adoption and increased traction with higher value solutions. Sales from integrated audio modules, more than double in 2014 versus 2013 and we expect growth again in 2015. We continue to win new designs across these customers by delivering superior performance and reducing customer’s time to market. As we entered 2015, it is also important to note the progress we have made in the area of intelligent audio. We’ve recently attended CES and met with many customers to demonstrate Knowles ability to optimize the audio signal path in the next generation of mobile devices. Given the positive response from customers, we’re confident in our approach with intelligent audio solutions. We expect to continue to increase our investment in this area. For example, we’ve recently hired a CTO to lead our long-term technology strategy. We also opened a design center in Sunnyvale in November, which will focus on enabling the company’s intelligent audio solutions. We are excited that some of these next generation solutions are being implemented in new devices entering the market today. Last month, HP introduced the Pro Slate 12 with ultrasonic technology allowing the user to write on any type of paper and the content immediately appear on the display. This advancement is powered by one of our latest introductions, a digital microphone that supports ultrasonic bandwidth. This particular device uses seven microphones and drive content growth per device by enabling new applications. In the Specialty Component segment, Q4 sales were down slightly quarter-over-quarter and represented about 40% of the total company revenue. Revenue from acoustics was up sequentially. This was offset by softer sales and precision devices as wireless infrastructure customers consumed inventory built earlier in the year. Note that even with this minor pullback in Q4, precision device revenue was still up 3% over the year ago period and at the high-end of our specialty component growth rate targets. In both of our segments, we remained focused on optimizing our manufacturing footprint. As expected, we saw the full benefit from our restructuring of our Vienna facility in the fourth quarter. We remain on track to deliver our annual savings target of $50 million by the end of 2015. With that, I’ll turn it over to John to expand our financial results and provide our guidance for the March quarter. John?
John Anderson: Thanks, Jeff. As Jeff mentioned earlier, we reported fourth quarter revenues of $286 million. Mobile consumer electronic revenues of $171 million were down about 6% sequentially. As expected microphone shipments remained on hold for the entire fourth quarter for the specific customer platform, we discussed during our Q3 call. Strong quarter-over-quarter sales of our speaker and receiver products, helped offset the shipment declines in microphones. As Jeff mentioned, we believe our Q4 revenues were unfavorably impacted by more than $50 million. Specialty component revenues of $115 million were down 3% sequentially, driven by lower sales to wireless infrastructure customers as they reduced inventories, that were built up earlier in the year. These declines were partially offset by continued broad-based demand among our hearing health customers. Fourth quarter gross margins declined sequentially to 24.6%, due primarily to charges associated with the microphone issue and the related lower capacity utilization. As stated during our Q3 call, there were potential exposures related to the impacted microphone, which were not reflected in our Q4 projections. During the quarter, we incurred approximately $21 million in charges related to the microphone issue. Excluding the impact of these charges, gross margins would have been approximately 32% at the low-end of our prior projected range. Operating expense in the fourth quarter was approximately $54 million, consistent with Q3 levels. Adjusted EBIT margin for the quarter was 6.2%, down sequentially driven by the impact of the microphone issue, partially offset by benefits of prior restructuring action. Without the microphone charges incurred in the quarter, adjusted EBIT margin would have been 13% in line with our prior projections. Non-GAAP diluted EPS was $0.14 for the quarter, excluding the impact of the microphone charges mentioned, non-GAAP EPS would have been $0.38. This includes $0.01 of benefit related to favorable foreign currency fluctuations. Further information including a detailed reconciliation of GAAP to non-GAAP results is provided in the financial tables of today’s press release and can also be found on our website at knowles.com. Now, I’ll turn to our balance sheet and cash flow. Cash and cash equivalents totaled $55 million at the end of December. For the quarter, cash flow from operating activities was $26 million, and includes payments related to restructuring and production transfer cost of $9 million. Capital spending in the quarter was approximately $16 million. Since the spinoff from Dover, we have increased our cash position from $41 million to $55 million, while funding $45 million of restructuring and production transfer cost and $84 million in CapEx. Our bank debt balance was unchanged for the quarter at $400 million, comprised of $300 million of borrowings outstanding under the term loan facility and $100 million under the revolving credit facility. On December 31, 2004 Knowles entered into an amended credit agreement to increase the amount of the revolver from $200 million to $350 million. The facility increase provides Knowles with increased flexibility to execute our corporate growth strategy and aligns our liquidity with our peer group. In total, we exited 2014 with more than $300 million of liquidity. Interest expense was $2.1 million in the fourth quarter. For full year 2014, we recorded revenue of $1.14 billion, gross margins of 29.4% and EBIT margins of 9.9%. Excluding the direct microphone charges incurred full year gross margins were 31% and EBIT margins 12%. Note that, while these margins exclude the direct microphone charges, they do not reflect the negative EBIT impact of lower shipments and lower production volume. Now, let me turn to our first quarter guidance. We expect first quarter revenue of $225 million to $245 million. MCE revenue is expected to be down approximately 25% quarter-over-quarter due to seasonal trend. As previously mentioned, our microphones with a major North American OEM has been re-qualified, but we have not included any shipments in our Q1 projections. Specialty component revenue is expected to be approximately 9% lower quarter-over-quarter, driven by seasonal patterns of customer product introductions in acoustics and continued burn off of inventory from telecom customers. We project non-GAAP gross margin to be approximately 25% to 27%. In connection with lower capacity utilization rates, resulting from the impacted microphone and Chinese New Year. R&D spending in the quarter is expected to be approximately $23 million, up from Q4 driven by a higher level of activity related to our integrated audio modules and intelligent audio solutions. Selling and administrative expense is expected to be approximately $34 million. We’re projecting adjusted EBIT margin to be between 1% and 4% with the first quarter effective tax rate in the range of 13% to 15%. We expect non-GAAP diluted EPS for the first quarter to be within a range of $0.01 to $0.07 per share. This assumes weighted average shares outstanding during the quarter to be $85.7 million on a fully diluted basis. Please refer to our press release for a GAAP and non-GAAP reconciliation. For the first quarter, we expect cash flow from operating activities to be between $5 million and $15 million. I’ll turn the call back over to Jeff for closing remarks and then we’ll move to the Q&A portion of the call. Jeff?
Jeff Niew: In summary, we made excellent progress in a number of different areas despite the challenges from the microphone situation. We made advancement in new product development and optimized our manufacturing footprint across both business segments. For 2015, we are pleased that our microphone has been re-qualified and shipments are expected to resume in the second quarter. We also look forward to a stronger second half of the year, driven by normal seasonal trends and new product growth. Overall, I’m confident that the improvements we’ve made will translate into revenue growth and improved profitability in the years to come. Operator, we can take questions.
Operator: [Operator Instructions] Our first question is from Harsh Kumar of Stephens. You may begin.
Harsh Kumar: Yes, hi, guys. First of all, congratulations on getting the re-qualification, I had a bunch of questions on that issue as I try to sort of jiggle the model to figure out how that ramp will be, but maybe you could start off with the June quarter. As you start shipments, will it be a slow ramp building up to the year or will - are you all done and you’re going to start from day one, at pretty steady clip. How should we think about the ramp for June, September with that particular customer on that recall.
Jeff Niew: Well first of all, Harsh, just take step back. We’re referring that the shipments will start in - restart in Q2, which will be the April quarter. And I guess, we’ve not really given guidance on that. We’re still working through the details of the supply chain and ramp up and things like that, but I would expect it to be not overly slow, and we expect to sit there and see, we should get a nice share, we think a nice share in Q2 based on where we were three months ago. As we go into the back half of the year, we were engaged on all next-generation products. So we’d expect it to be more of a typical type year that we started to see last year in Q3 before we ran into the situation. So just kind of reiterate what I said or repeat. We’ll see a ramp in Q2, it’s hard to say the exact date in Q2, when it’s going to happened, but ones it gets going, it should get going. And then we’ll start getting into the season of next-generation products being introduced, which our goal here, Harsh, is to regain the share that we’ve lost associated with to the microphone issue.
Harsh Kumar: Got it. That’s actually very helpful, Jeff. And I’m going to ask this question, this particular customer, you know is sort of very relentless about quality and sort of unforgiving to people who make mistakes. It’s actually great that you guys got back in. I just wanted to get a better handle on, what is it about your relationship with them that allows you to get back in, is it just as you are big players in mics, you have to manufacture it, what is that critical function that allows you to back in?
Jeff Niew: Yeah. Harsh that’s a pretty good question though. I would say, a couple of things. First, you know, we are a supplier across multiple platforms. So you know when we talk about customers, whether it would be this customer or other customers, we sell into headsets and tablets and the handsets and you know across multiple platforms, and of course on the microphone. And then the second thing that I think it’s pretty critical for us is that we supply other things, besides microphones. We’re a supplier of speakers and receivers and increasingly some of our high-end audio components we’re starting to provide into headsets. So I think what we see is, it’s a real partnership that we have with these customers and its long-term, it’s not short-term. Most of these customers that we’re talking about whether it’d be here at North America or over in Asia, we’ve been doing business with them for many years. And I think, well there’s no doubt been a difficult situation and believe me the team here has had lived it. We get a real good feeling with these customers that they want to work with us because of the new products we’re coming out with, the breadth of our product line, which allows us to be across all of their different products.
Harsh Kumar: And thanks again for that color. That was also really helpful. My last question and I’ll get back in line guys, is that 25% decline, so we covered a couple of handset guys and I think in general March wasn’t quite as bad for most of the handset guys. Still there is a pretty strong product ramp happening for phones. I’m curious is there anything else that’s going on besides normal seasonality with respect to March over December?
Jeff Niew: When we look back over the last few years, Harsh, I think this is pretty much in line with what we would expect seasonally. There’s always questions around these next launches. When I say questions around them, how well they’re going to do in the marketplace? And a lot of its inventory build as you sit there towards the end of the first quarter, it’s hard for us to predict exactly what Q2, and if you remember what that Q2 last year, we talked about Samsung, once they build all the inventory, we kind of had to pull back in Q2 on inventory. It’s hard to say what’s going to happen this year, but we’re well positioned and so the 25% down. I don’t put that in a category of being out of the normal what we normally see. The other thing I just would say on the Specialty Components side, we are seeing some sequential downward a little bit. Majority of that is between two things, one is our acoustics business, which if you go back over the last four, five years, Q1 is traditionally a much slower than the fourth. Most of our customers on the hearing aid side introduced products in the fourth quarter and they get all the inventory out. So we typically see it again a seasonally a Q1 that’s slow. The other thing that we have is we are working through inventory issue that we have with our telecom customers on the precision devices side. So we saw that start to show up in Q4 and its continuing as we go into Q1.
Harsh Kumar: Hey, Jeff, thanks again for that clarity and congratulations again on getting back in.
Jeff Niew: Thanks, thanks Harsh.
Operator: Thank you. Our next question is from Alex Gauna of JMP Securities. You may begin.
Alex Gauna: Thanks for taking my question. Jeff, I’m wondering as it pertains to the Q2 resumption, are we talking about the parts that were recalled and rescreened for your product mix or a combination, and if it’s not the products that were recalled and screened, is that still inventory that might be useful to you at some point here down the road? Thank you.
Jeff Niew: Yeah. I think, what I say is on the first question relative to rescreened or new parts, our expectation would be both. It’s a combination of working through again some of the screen parts that we have. But also new products, the new design. So I think it’s both. Refresh me on the second question?
Alex Gauna: Specifically, if it - so if you’re using some of your screened parts, I’m guessing that you have inventory than that could be consumed by that single customer, it doesn’t necessarily need to find a new home?
Jeff Niew: Well, I mean there maybe some extra inventory. I don’t think, at this point, anything that we would have said, were scrapped, it’s scraped. And I don’t think, we think that necessarily it’s going to be able to resold to anybody else, because these are custom parts, Alex. So I don’t see that being the case. So I think, as you look at the chart and John can go into detail more about it, that we took in the fourth quarter. That was to cover a lot of scrap in the inventory and the material associated with this. And so John can go into more detail on that, but that was really to reserve for all that material.
Alex Gauna: Okay. I got it. And then quick question. Can you talk to maybe the industry dynamics, as you resume shipment, presumably, others in Southeast Asia were able to pick up some of the slack, from you, the largest player in the industry. But when you resume production, we’re no longer going to be in the sweet spot of seasonal demand. What does that means to - how that customer thinks about allocating its demand, among the different players. Is there going to be a situation, where there’s all of a sudden a lot of excess supply in the industry?
Jeff Niew: I don’t necessarily see that, exactly that way, Alex. But, what we is that, first of all, you do have the ramp up of the Korean model that will come towards the of Q1 and Q2. There’s a fair number of Chinese OEM introductions, that are planned in Q1 and Q2, a couple of that is - as we get to late Q2 into early Q3, we’ll start to see us getting prepared for the ramp to the next generation of the North American OEMs. So, I don’t necessarily see it rolling out exactly that way but one thing I just will add, which I think I mentioned in the last call, which is we do expect some pricing pressure here on this re-qualified products. And so that was one of the things I think we called out and I still think that holds true but we do see some pricing pressure as we go into Q2 on these products that are re-qualified.
Alex Gauna: Okay. One last quick one. Because you mentioned the ramp of Chinese platforms. Here now as we’re entering 2015, I know you got some really nice positioning in some of the key brand OEMs and speakers in China. Based on what you’re seeing right now with some of the upcoming refreshes, do you feel like you might be in the a position to take some speaker share in 2015 or is that a still TBD? Thanks.
Jeff Niew: Yes, I’m going to lay that as a TBD. I think, we’re better positioned this year in terms of speakers than we have in any year that since we’ve owned Sound Solutions, the business that we bought from NXP, but I think it’s always a - I think we wanted to take share or not and - but I think we’re well positioned. The Chinese OEMs clearly our product portfolio and our roadmap and speakers and receivers looks really good. And we’re real happy where we’re, how we’re positioned right now.
Alex Gauna: Okay. Thank you. Good luck.
Operator: Thank you. Our next question is from Jaeson Schmidt of Lake Street Capital. You may began.
Jaeson Schmidt: Hi, guys. Thanks for taking my questions. I want to talk to you about gross margins. Obviously, some near-term headwinds due to capacity but once you start reshipping and as we progress throughout this year. Would it be fair to expect gross margins to resume to there are more historical levels?
John Anderson: Yes, let me start out with kind of a bridge for you. I think it’s important to bridge Q4 2014, as you know we reported gross margins, adjusted gross margins of 24.6%, that includes the direct charge of $21 million related to the microphone issue. If you add that back, our margins would be, gross margins would be at 32%. It’s important to note that in addition to the direct charges we incurred, our product lines for this platform were idled in the quarter. So if you take into effect the total impact, the lost EBIT on that volume, the gross margins for Q4 would be north of 35%. I’m not going to comment on future margins into 2015, but we do see improvement as we go throughout the year in margins.
Jaeson Schmidt: Okay. And then Jeff, you mentioned seeing some pricing pressure in the requalified part, but can you talk a bit more about the pricing environment overall?
Jeff Niew: Yes, so I think the thing that we’ve talked about in the past are still wholly true. We’re seeing specifically the Chinese OEMs, multi-mic adoption, really coming to fruition, where if you see the platforms that are being introduced by the major OEMs in China are going from one mic to two mics in some cases two mics to three mics. So that is goes against our pricing pressure. The second thing is, we continue to see that moving towards higher performance microphones. So I think that really fits well. And I think we talked a little about now and again we don’t think it’s going to have a big impact on 2015, but as we look out in the 2016 and beyond intelligent audio really have some real opportunities here to change the game in the marketplace from the standpoint of enabling new applications, taking performance to a new level that we haven’t seen yet. So I guess the thing that we talked about a year ago on the spend when we said people want better audio, they’re willing to pay for it, and they want new applications involving audio, still hold true, we still see that.
Jaeson Schmidt: Okay. And the last one for me. Wondering how much of your revenue came from China in Q4?
Jeff Niew: I don’t have that in front of me right at the tip of my hand. Mike can follow up with you. But, what I would say is, as I said in the discussion, sequentially we would like to see a little higher, but it was mainly due from what we see is some delays of new product introductions. As we go into 2015, I think the market is defining that the Chinese OEM growth will start to slow. So net factored in how we look at Q1 and as we go forward that is starting to slow. But luckily for us we have these offsetting factors, right. They were pretty well positioned in speakers and receivers, you got multi-mike adoption, conversion from the old ECM technology into MEMS microphones. So there is a lot of things there are going in the right direction that lead us to believe that we’ll grow faster in the China market than the market is growing, similar to that we’ve done this year - 2014, sorry, last year.
Jaeson Schmidt: All right. Thanks, guys.
Mike Knapp: Jaeson, it’s Mike, that’s just touch over 10% on Chinese.
Jaeson Schmidt: Okay. Thanks, Mike.
Operator: Thank you. Our next question is from Anthony Stoss from Craig-Hallum. You may begin.
Anthony Stoss: Hi, guys. A question related to the requalification, I am just curious as to why you’re not perhaps starting to ship to Apple in Q1 and why is there a delay until Q2? Second question, do you think you’ve got the systems in place now to make sure that this doesn’t happened again? Then lastly, your view on the past of having 60% to 70% share of the smartphone market for mics. With this issue has your, I guess your quality of the target with other customers, do you still think you’re - you can hold in that 60% to 70% longer term? Thanks.
Jeff Niew: Yeah, I am going to take the last question first and then I’ll go back. The question of whether quality has been tarnished with other customers. And I would say the answer is absolutely not. In fact what I would say is even with the customer we had the problem with, I think the relationship comes out stronger. They understand more about what we do, how we do it, we’re much closer to them. I really feel good about - as good as you can feel about the situation like this happening. As far as, I’m sorry the first question.
Anthony Stoss: The delay in shipping until Q2.
Jeff Niew: Yeah, yeah. So I mean our qualification or requalification of the approval isn’t happened that long ago. So I wouldn’t say it happened early in the fourth quarter, it happened more recently. And if you think about what happens once that goes forward is, is then there is got to be filling of supply chain, discussing pricing as we’ve discussed earlier in the call. There is lot of things that got to happen around it, but I guess what I feel is without coming out and saying if that what we get, because we don’t have the exact numbers of what we get in Q2 or we’re not giving guidance on Q2. I would say I feel comfortable that we’re going to get shared. So I think we feel real comfortable where we are. As far as whether what our systems, I think one of the things that’s come out of this for us is, we have taken a look back at ourselves and said what are we need to do to make sure this doesn’t happen again. And I’m not going to go in all the details but clearly we have some made some structural changes internally and make sure things like this don’t happen again. Obviously, this was very traumatic for us, traumatic for our shareholders but it was traumatic for the employees, but in the end I think it made us stronger. It’s going to make us stronger and long-term especially as we move, their products are not becoming less complex as we go forward. Our products are getting more and more complex if people are demanding a better performance new application.
Anthony Stoss: Thanks, Jeff.
Operator: Thank you. Our next question is from Tristan Gerra of Baird. You may begin.
Tristan Gerra: Hi, good afternoon. Just a quick follow-up question on the pricing that you said we’ll expect to little bit more in Q2 probably beyond what the normally it’s the decline trend on a year-over-year basis. Could you talk a little bit about the decline in production costs that you expect to realize this year and as a 20% adjustment in ASPs is a good assumption starting in Q2.
Jeff Niew: Tristan, first, we take up second question first. We’re not expecting overall for our business 20% decline in ASPs, it’s nothing to that extent. We have a - and the second question is relative to cost, and Jon can expand on this, but we have a very robust cost takeout plan that goes even beyond the $50 million that we’re talking about in our normal cost of business that where what we call value creation working on to break cost out. And as we - we’ve always talked about what we expect is that we introduced a product and it’s a bit higher performance, we expect to get better ASP and then over time there is a product lifecycle. We expect that it was going to come down in price over time. But we’re just saying is on this specific product, it’s coming down significantly faster than we would have expected if we hadn’t have this problem. So, John do you want to expand a little bit?
John Anderson: Yeah, Tristan. Just to expand a little bit, I mean first of all with respect to the value creation that Jeff mentioned, we target 3% to 4% productivity improvement over the course of the year, and that’s really driven by material cost reductions, labor productivity, application of lean principles in both our plants and in our back office. In addition to that, we have initiatives that we talked about at our Investor Day, where we were targeting $50 million in annualized savings. As we previously stated, we’re slightly ahead of schedule in terms of those cost saving targets. We’re going to exit Q4 of 2014 at just under $40 million of run rate in annualized savings, a big portion of that was the closure of our Vienna production facility, which was $28 million to $30 million. In addition, we’ve had some footprint capacity rationalization in our precision device business. And we’re in the initial phases of our transfer from our hearing health business from China to our low cost facility in Philippines. So I think of exiting Q4 at $40 million, we expect another $10 million in 2015, as we complete the transfer of our hearing health business to the Philippines and have some further facility rationalization within our precision devices. So hopefully that’s the combination of the productivity and value creation that we have and these initiatives gives you a feel of what we’re doing on our cost structure.
Tristan Gerra: Okay. That’s helpful. And then what was the mix approximately of your integrated module business in the quarter on your consumer size?
Jeff Niew: You said mix between speaker, receiver and microphone?
Tristan Gerra: Of the integrated module that combines the microphone and the speaker, I am assuming it’s still a very small percentage of your mix.
Jeff Niew: It’s a small percentage, but growing pretty fast, that’s what I would say. We don’t publicly give that detail. It’s becoming increasingly difficult, because partially if you think about it, when we get a module sales, it actually takes away from speaker sales. So it’s really hard.
John Anderson: Less than 10% of the total MCE business.
Tristan Gerra: Great, thanks again.
Operator: Thank you. Our next question comes from Bob Labick of CJS Securities. You may begin.
Bob Labick: Good afternoon. Thank you. Could you tell us, have you been able to find out or going from industry, I guess where the capacity was made up exactly when you were not shipping this particular mic and has that, in your opinion, have any impact on your future capacity going forward? Was there more added, was there more shifts or how will that impact the landscape on a go forward basis?
Jeff Niew: Yeah. I mean it’s hard for us to ascertain exactly, but from our market intelligence, we’d say, it wasn’t one person, it was multiple. And there was not just one person who could prove, who could pick up that flag. I said I think the second thing I would just - and I think we think that’s positive that you don’t see one guy coming in and adding all the capacity and saying that we’re going to move forward this. Second, I think - did you ask the second question, Bob?
Bob Labick: Just, any implication from that, in fact that there was at least this initial surge to make up for your - being out in the short-term. Any implication on that on the long-term?
Jeff Niew: Well I mean I think, what you see is potentially maybe some capacity got ahead of itself. But if you look at the - between multi-mic adoption, you look at, we’re still getting a fair amount of conversion from the old technology ECMs, plus you have the normal growth rate of the smartphone market itself, I think what you see is that that there’s going to be need for more capacity in the market place as these dynamics continue to play out.
Bob Labick: Okay, great. And then on the specific platform, I think on the October call, you had mentioned, you thought the impact would be kind of $40 million in Q4 and $60 million to $70 million in 2015. It was obviously bigger launch than anticipated back then. So it’s bigger impact Q4. Can you give us a sense of the impact in 2015, at least through Q1 of what you’re expecting now, in particular as it relates to the guidance, because you’re guiding down kind of $40 million, I think year-over-year, that seems - I was - help us to reconcile that Q1...
Jeff Niew: Yeah. I would say that, if you look at, there are published reports, where people are estimating on the number of phones that are going to be built. If you were backwards in the numbers, I would say, it’s the impact in Q1, considering we’re not having any real shipments in Q1, I would say $30 million to $35 million. And as we go towards the second quarter, hopefully, as we said, we expect to be shipping. The impact would be less, because of that. But we’ll also start ramping, hopefully toward the next generation stuff as we exit Q2.
Bob Labick: Okay. Great. Helpful. And then obviously you spoken about a little bit on the Vienna and initiatives in reaching that goal already which is great. But just, there was obviously the $21 million impact in this quarter. Is there any impact in Q1 as well as their way to get or can you just remind us again your mid-teen margin assumptions, sorry mid-term margin assumptions and if those have changed materially from this?
John Anderson: Yeah. Let me hit Q1 first. I mean, Q1 gross margins are impacted by a couple things. First they are impacted by the microphone issue. Second Q1 is seasonally our lowest margin because of Chinese New Year. And so you’ve got a combination here of Chinese New Year and the impacted mic creating fairly low capacity utilization. So that’s the first question. The second question with respect to our mid-term operating model. As we stated on our Q3 earnings call, our mid-term operating model targets are unchanged. We’re looking towards achieving them by the end of 2017 and for reference it was 39% on gross profit margin.
Bob Labick: Great. Now that’s fantastic. And then last one from me, hey you touched on a little bit in terms of the ultrasonic. But can you just give us a sense of some of the new technology that you’ve been developing and with another example of ultrasonic or voice IQ or end base or where those stand now or when we may expect other new technologies coming out of here?
Jeff Niew: Well, we’re really highly focused on prioritizing some of the things that we’ve talked about already. I’ll point you back to our intelligent audio. The response we’re getting from the marketplace about enabling new applications is really positive.
John Anderson: What I would say though is what our base is as we introduced these products, the integration and the introduction is significantly more complicated than and then previous miles that we work with. And what we’ve really have done over the last six months and I think it’s one of the positive people talk about, so one of the positives of not being part of Dover. We’re investing a fair amount of money more in R&D. We continue to really put, really step forward in R&D. And the latest thing I think I talked about on my script was we open this facility in Sunnyvale, we already had a facility in California relative to our large OEM up there to supporting that, but now we’ve got a facility that’s really tasked with working on the integration issues of intelligent audio. And so if you were to sit down there and say the thing that I’m pretty bullish on as we go onto 2016 and 2017 is intelligent audio. And there will be more products that we’re going to talk about as times goes on. But we’re highly focused on getting the first product launched and getting them integrated in our customer solutions at this point.
Bob Labick: Okay. Great. Congratulations to on the every qualification. Thank you.
Jeff Niew: Thanks. Thanks a lot.
Operator: Thank you. Our next question comes from Christopher Rolland of FBR Capital Markets. You may begin.
Christopher Rolland: Hey, guys. Thanks for squeezing me. And I also echo my congrats on your recall there. So switching gears to another customer, can you guys talk about your expected contribution from a Korean customer that typically replenishes inventory in Q1 and also ramps their flagship phone builds at the end of the quarter? Thanks.
Jeff Niew: Yeah. First, I’d say we’re well positioned there for this launch. And we obviously are getting ready for this. I think you guys understand the market dynamics as well as I do in the end market of what’s happening here. And I come back to you and the Knowles kind of position here is that we’re very well positioned across the board, at all OEMs whether it would be the Chinese OEMs or the North American or Korean customers or even we talked about Microsoft now, we’re well-positioned with Microsoft. And so to the extent of that case, we’re ready for the ramp. How it’s going to go and whether it’s going to be successful or whether - it’s hard for us to say. I mean your guess is as good as ours as how they’re going to do in the end market, obviously it’s dependent on how the phone is received. But what I would say is we’re well positioned in order to take advantage of that.
Christopher Rolland: Okay great. And as I look at the market and it’s probably the gross over simplification here, but it seems kind of like a function of ASPs, unit volumes and then Knowles share. So I just wanted to get your idea how those three things playing out. I mean ASPs overall year-over-year particularly on these price discounts that you mentioned, how do you see that playing out? How do you see unit growth playing out and then ultimately what’s you share in your minds in 2015?
Jeff Niew: Yeah. I start-off by saying these products if you look at them whether they’re microphone speakers or receivers, they’re not commodities, right. There, a lot of the stuff we’re doing is custom for specific customers and we work with them very, very closely. I go back to what I kind of talked about earlier in the call which is, just that we expect that the ASPs are beginning - are higher at the beginning of a product launch and then start to decline. I do think obviously when, one of our larger customers, there is going to be more than expected price erosion because of this issue, it does have an impact overall on our overall business, but if you go outside of this customer, I don’t think, we’re seeing abnormally different ASP erosion than that normal path where we introduce products, it comes down in price and then we introduce the next one. We also see, obviously and that helps offset is, is this can move towards these high value products. Whether it be better performance, things like new applications like ultrasonics or intelligent audios, as we get towards back half of this year and into 2016, as well as audio modules, which are in general are higher ASP. So we see a lot of positives on the ASP side. On the volume side, I think, we talked about the dynamics, but the dynamics still are pretty good. The multi-mic adoption, continues, conversion from older ECM technology continues, moves from - you are starting to see, some people contemplate more speakers per device. So the market is growing - our - what you call, our products category is growing faster than what’s happening in the marketplace itself. So overall we feel pretty good about, where the market goes over the next few years.
Christopher Rolland: Okay. Great. Thank you for that color. And then finally, if you could walk me through your gross margin expectations for expansion this year, so I guess 32% pro forma today, I would expect your big North American customer to have gross margins below corporate average. Maybe just because of their size and negotiating power. But perhaps I am wrong there and feel free to correct me. But why would margins improve through the year as this larger customer mixes in and particularly with the pricing pressure that you mentioned. This is just a function of higher utilization on your backend for example. And if you perhaps maybe, you could talk about where those utilizations are today.
Jeff Niew: Yeah, a couple of questions there. First of all with respect margins obviously we aren’t going to comment on margins about a specific customer. In terms of improvement going forward in 2015 a couple drivers here, first, as you said its factory utilization. Second, it’s I’ll call it product mix. If you think about 2014, we had less sales of new products, because of this microphone issue. Going forward into 2015, we think we’ll have a higher proportion of new products, which as Jeff mentioned, each new platform comes out at a higher ASP. We think those two factors combined with the cost saving initiatives that I mentioned on the call previously will drive margins higher in the second half of the year.
Christopher Rolland: Great. Thanks, guys and congrats again on re-qual.
Jeff Niew: Thank you.
Operator: Thank you. Our next question is from Rob Stone of Cowen and Company. You may begin.
Rob Stone: Hi, guys. I know you can probably hardly wait to get one more gross margin question, but you don’t. I just wonder if you could pull a part what is the normal, seasonal dip that you see from Q4 and Q1 on gross margins as a result of the typical seasonal reduction utilization, that’s my first question and I have a couple of others?
Jeff Niew: Yeah, I would say 2014, obviously is an outlier. So I’ll go back to 2013 and if you think of gross margins there - three is typically a spread of 400 basis points between Q1, which is seasonally low and I’ll call it Q3, Q4 which is our higher margin quarters. So think of it that way again, it can’t really look at Q4, because of the issue we had this year?
John Anderson: Sure a high level strategic question, so there are lot of different technologies and trends towards higher quality audio more mics, et cetera. Do you see any correlation between customers looking at those types of solutions and some other features set on the smartphone for instance. Does it correlate to high resolution screens, within a particular high-end mid-range, is it the segment, the price point. Help us understand how big of slice of the market may adopt these higher-end solutions.
Jeff Niew: Well, I think what we’ve seen in general is, that when a new product is introduced or let’s say a new level of performance introduced, it starts at the high end. And then slowly it starts migrating to the mid-range from and then eventually gets the low end. If I think use microphones as the example, the microphones that are used in mid-range phones are significantly better than the microphones that were used in mid-range phones two years ago. So I contemplate this to audio is not all together different, if you think about like screen technology. If you go back ten years ago people had black and white screens, and they were small, that it went to color, and then it went to larger with a higher pixel count. There is - we have all those type of - I would say specs, that we’ve on microphones, and similarly on speakers. So in general and we talk a fair amount about this on Investor Day and we get out and we talked about this more as people want better acoustic performance. I mean you could think of all the applications where today you use a phone and you sit there and say well, the acoustic performance was better than it was three years ago, there is still room for improvement. And to the end - and to the extent that we can improve the performance, our customers are willing to pay for it in order to give it to the consumers. I have a fair number of meetings with higher level of people, our customers and one of the reasons, I think that I can get some of these meetings is because audio is important. They don’t look at audio as a commodity, they look at audio as a differentiator and even in the mid-range phone, they look it as it’s something you got to have, you got to have that performance.
Rob Stone: So can you characterize perhaps or at least roughly what the spread might be then between let’s say a mid-range phone that’s got a full HD screen and that type of spec versus the high-end phone that maybe has QHD or support for 4K video, that type of. What type of a spread is there then on your revenue opportunity per unit?
Jeff Niew: I mean it depends on the customer to customer, but are you talking in terms of like total content per phone or performance? I mean there is lot of different aspects here.
Rob Stone: I’m trying to size the impact of when you talk qualitatively about higher performance at the high-end, how much of a spread that might give you on your revenue per system opportunity?
Jeff Niew: Yeah. I understand, I understand. So I mean it’s a little bit complicated because of the Chinese OEMs, and I’ll tell you why in a moment. But first of all, typical high-end phone has three microphones, a typical mid-range has two and a typical low-end has one. So you see between a mid-range and a high-end. Now one of the interesting things is as people moved into two microphones in the mid-range. It’s a doubling of content on the microphone side. Now, the Chinese OEMs bring a different thing into factor, and I would say because of the modules are coming into effect, which we don’t necessarily have across all customers. So in general, I would say is that, the mid-range phones are less in terms of probably by a factor maybe of 20%, 25% in terms of content than the high end phones, and that goes the stuff that’s being brought out in the high end phones typically migrates down to the mid-range phone. So we overall, we see an all of our categories, whether it’d be low end, mid-range or high end increased in content.
Rob Stone: Great. And finally, a housekeeping question or two for John, if I may. Could you comment at all on your expected CapEx need for 2015. And also, that you’ve got a quite a bit of liquidity with the expanded revolver, any other color you can provide on sources and uses of cash other that CapEx? Thanks.
John Anderson: Yeah, sure. With respect to CapEx, I mean this year we spend about $84 million in CapEx, I expect that to come down, as we go into 2015. We are giving full year guidance, but expect it to be lower than 2014 levels. With respect to the liquidity, again, we’ve -we increased our facility in December by a $115 - $150 million and this was really to provide us flexibility for general corporate purposes and executing our gross growth strategy. And it really aligns our liquidity with our peer group. So nothing more specific than that.
Rob Stone: Great. Thank you.
Operator: Thank you. Our next question is follow up a question from Harsh Kumar of Stephens. You may begin.
Harsh Kumar: Yeah, hi guys. Thanks for squeezing me in. I have about one or two questions. First of all, John, the guidance you gave for gross margin, I think it’s a 24% - 27% - 26% at the median. Are there any charges included in that or is that a number we can safely model?
Jeff Niew: Harsh, no specific charges. We think the costs associated with - the direct costs associated with the impacted microphone are behind us. What I will say though is, we’ve got idle capacity for a significant portion of the quarter. As Jeff mentioned, we earn envisioning shipments to take place till Q2. We recently were notified of the requalification so a good portion of this quarter has idle overhead, which is fairly significant to our margins.
Harsh Kumar: Great. Great. That was actually - that’s a grade leading into my second question. So I’m looking at your margins, the one that you gave the x - the charge margin you said would have been 32% minus the impact of the issue. If I compare that to the margins you put out last year call it 37% versus the 32%. Is it fair from you to assume that your idle charges are accounting to roughly 400 BPS, 500 BPS?
John Anderson: Yeah. I think I said, Harsh, if you want to kind of bridged it, I think our earlier question and on as reported based this in Q4 we had gross margins of $24.6 million. If you add back the direct costs, the $21 million, our margins were 32%. If you then take into account the loss EBIT on that volume that we had in Q4 margins would be an excess of 35%.
Harsh Kumar: Got it. Okay. That’s very helpful. Thank you. And then last question from me, is March OpEx - is it up meaningfully from call it September, December because of payroll and kind of the ramp associated with getting back in and to recall. And should we take that as a base and build it up or should we sort of think that that’s kind of a high number for relative to the rest of the quarters for OpEx?
John Anderson: What OpEx - let me talk first about R&D, because I think that’s the area that we’ve talked about previously and we will see some increases in R&D, really driven by intelligent audio with the rest of selling and admin expenses, we’re pretty flat with where we were in Q4.
Harsh Kumar: Got it.
John Anderson: So just to say, Harsh, I think, we’ve been kind of signaling all along that we think it’s important and continued to increase our spending on R&D. It is up. Our R&D is already up pretty significantly on an absolute basis over the last two years, but we continued to see that being the case, especially is that we move towards more complicated solutions.
Harsh Kumar: That’s fair, guys. Thanks. That’s all I got. Thank you.
Operator: Thank you. Our next question is from Robert Sassoon of R F Lafferty and Company. You may begin.
Robert Sassoon: Thank you. You actually covered a lot of things that I was going to ask. But just a specific question to John, in terms of the D&A, depreciation and amortization. What was that actually in the fourth quarter?
Jeff Niew: Let me take that one out and maybe we can go to the next question. I’ll back to you.
Robert Sassoon: Right. And I was going to carryon and say because what are the changes have you made in terms of manufacturing capacity? Is depreciation and amortization is that going to be in a downward trend in 2015?
Jeff Niew: Yeah, can you repeat that question…
Robert Sassoon: I mean you’re basically kind of your consolidated capacity and you’re reducing CapEx, are you - is there sort of it could be a double trend in depreciation and amortization in 2015 and beyond.
Jeff Niew: So we are not taking up capacity. The majority of stuff you talk about in terms of relocating facilities from one location to another. So we don’t kind of view as taking out capacity.
Robert Sassoon: All right.
Jeff Niew: I think what you see is relative to lower CapEx is just a function of the fact that we’re moving over time to less reliance on the growth of the end market and more reliance on the growth of the value of the solution. So it’s not as requiring as much CapEx in order to grow the business.
Robert Sassoon: Right. All right. Okay. I didn’t quite catch that - what you said to the medium term targets. Were they set for the end of 2017 or over the start?
Jeff Niew: 2017.
Robert Sassoon: Or start of 2017?
Jeff Niew: End of 2017.
Robert Sassoon: End of 2017. Right and just a quick question. You say on the $21 million charges that you made against microphones. You hadn’t anticipated those. Is there a reason why those were missed in the previous guidance figures that you gave at the end of the third quarter and secondly is there a risk that you will underestimate the recharges, now that - you obviously have still not resumed shipments in the first quarter.
John Anderson: Again, we’ve recognized the $21 million charge in Q4 and that charge really includes reserve for finished goods inventory that we’ve deemed unlikely to sell related to this platform as well as sub contractor inventory that was impacted by the defect. It’s the subcontractor one that was really tough for us to get our arms around back in the end of October and also with respect to our finished goods inventory. We were going through a testing process and a screening process. We didn’t know how much of that would be able to be utilized. So that’s why we said, there is additional exposure, but we didn’t forecast - we didn’t reflect it in our Q4 guidance.
Robert Sassoon: Right. And there’s no chance of any of that sort of unanticipated…
Jeff Niew: Yes based on the information we have today, we don’t believe there’s additional exposure for this product.
Robert Sassoon: All right. Okay. All right. That’s all my questions.
Operator: Thank you. I am showing no further questions at this time. I would like to turn the conference back over to Mike Knapp for closing remarks.
Mike Knapp: Great. Well, thank you very much for joining us today. As always, we appreciate your interest in Knowles and look forward to speaking with you on our next earnings call. Thanks and good bye.
Operator: Ladies and gentlemen, this concludes today’s conference. Thanks for your participation. Have a wonderful day.